Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Berry Corporation Q1, 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Todd Crabtree, Manager of Investor Relations. Thank you, and please go ahead.
Todd Crabtree: Thank you, Brandy, and welcome to everyone. Thank you for joining us for Berry's first quarter 2021 earnings teleconference. Yesterday afternoon, Berry issued an earnings release highlighting full first quarter results. Speaking this morning will be Trem Smith, Board Chair and CEO; Fernando Araujo, Chief Operating Officer and Executive Vice President; and Cary Baetz, Chief Financial Officer and Executive Vice President. Trem will discuss our first quarter performance as well as our expectations for remainder of 2021. Fernando and then Cary will share further details on how we are addressing the operational and financial aspects of our business. Before turning it over to questions, Trem will make a few concluding remarks. Before we begin, I want to call your attention to the Safe Harbor language found in our earnings release. The earnings release and today's discussion contain certain projections and other forward-looking statements within the meaning of Federal Security Laws. These statements are subject to risks and uncertainties that may cause actual results to differ materially from those expressed or implied in these statements. These include risks and other factors outlined in our filings with the SEC. Our website, bry.com, has a link to the earnings release and our most recent investor presentation. Any information, including forward-looking statements, made on this call or contained in the earnings release and that presentation reflect our analysis as of the date made. We have no plans or duty to update them, except as required by law. Please refer to the tables in our earnings release and on our website for a reconciliation between all adjusted measures mentioned during today's call and the related GAAP measures. We will also post the replay link of this call and the transcript on our website. I will now turn the call over to Trem Smith.
Trem Smith: Thank you, Todd. Good morning, everyone, and thanks for joining us today. Despite the dynamic environment in which we are operating, we are executing as promised and continue to focus on the fundamentals that create value. We had a great quarter. Production was up, OpEx was down, EBITDA and capital spending were better than expected. We generated $16 million in levered free cash flow. And we had nearly $100 million cash on hand at the end of the quarter. Our liquidity position gives us flexibility on growth and returning capital to our shareholders. We restarted our dividend in the first quarter. It has been approved for the second, and we expect it to continue and grow at these price levels. I want to quickly address Governor Newsom's proposal to ban hydraulic fracturing in California as of 2024. This ban does not material impact Berry's operations, and as defined, it does not affect our thermal diatomite production or future operations. However, this type of unilateral action by the Governor is not in the best interest of Californians, and does not bring the stay closer to this goal of being net carbon-neutral by 2045. Studies, including those overseen by the Governors California Air Resources Board, otherwise known as CARB, have shown that Californians will still demand transportation fuels from hydrocarbons well past 2045. Therefore this ban just shifts the state supply source from local producers, who provide significant economic value locally and statewide through taxes, employment et cetera, and operate using California's rigorous environmental and safety standards to foreign oil producers that do not share our social or environmental standards, nor contribute to the economy of the state. It is important to recall that this year Berry will pay $40 million in greenhouse gas credits, and the industry as a whole pays more than $1 billion annually to help fund California's greenhouse gas reduction programs. We all want a clean and sustainable environment, and we support the state's goal of carbon neutrality by 2045, but to achieve this, we need to work together and find solutions that are equitable for everyone. Additionally, the California Legislature continues to do its work. It is our belief that we can be part of the solution to provide equitable, affordable and reliable energy by working with others. We have built relationships through the Western States Petroleum Association, and developed coalitions with labor, as well as other industries including lumber, agriculture and water. This collaborative approach helped us successfully defeat Senate Bill 467, Senator Weiner's Wide-Ranging Anti-Oil Bill or other proposed bills which we are actively monitoring that could impact our industry. More details can be found on Slide 25 of our investor presentation. Berry is and will be a part of the energy solution. We continued discussions to increase our scale through M&A, and we have quantified more than three decades of inventory in our sandstone reservoirs alone that will help meet California's long-term energy demand, and provide value to all stakeholders for decades to come. I will now turn it over to Fernando.
Fernando Araujo: Thank you, Trem. In Q1, we continue to create value by optimizing the performance of our current asset base, and by generating meaningful growth from our oil-rich conventional plays. For 2021, we expect almost 90% of our total production to be oil. Also, and I'm proud to report that we continue to achieve excellent environment, health and safety results in Q1. In fact, we just passed the one-year mark without a recordable incidents as a company. Also, we did not have any vehicle incidents for the second quarter in a row. We will continue to dedicate the necessary resources to ensure the safety of our employees and contractors to safeguard and we expect the environment to meet all regulatory commitments and to maintain the quality of our infrastructure. Moving to performance, production in Q1 averaged 27,100 barrels equivalent per day. This is 2% higher than Q4, 2020. Our California oil production, which constitutes 81% of the total also increased quarter-on-quarter by 3%. As previously stated, in 2021, we intend to keep production essentially flat year-on-year. Q2 production will be adversely affected by plugging and abandonment activity in thermal diatomite wells, and by the timing putting new wells on production. This P&A activity will allow us to optimize our base production and recompletion program in Q3 and Q4. We expect to see a slight production growth in the second-half of the year with a higher exit rate compared to last year. For most of Q1, we operated with two drilling rigs, drilling 45 new producers all in thermal sandstone reservoirs in California, and five delineation wells. In April, we added a drilling rig in Utah. We saw an opportunity, an attractive opportunity to drill and complete seven to 10 wells in our predictable, conventional assets in the Uinta basin. Our plan in California is to pick up a third drilling rig in June, targeting additional thermal sandstone wells. I want to highlight our drilling activity in the Hill property in the San Joaquin Valley. These are vertical wells targeting the predictable Tillery formation, where actual production is exceeding our type curves by close to 20%, resulting in very attractive returns. As a result, the asset is currently producing at a 30-year high. I also want to highlight the excellent results from our workover activity. This is a new focus area for Berry in 2021. These activities are yielding a rate of return in excess of 100% with 46 wells brought back into production in Q1. Our plan is to maintain an aggressive workover campaign throughout the year. Next, let's turn to operating expenses, and this is a great story. In Q1, we averaged an operating expense of $14.40 per BOE. This is a $4.11 per BOE improvement when compared to the 2020 annual average. We reduced non-energy OpEx by about $1 per BOE compared to last year's average. Our internal cost cutting campaign is resulting in sustainable savings in most line items within our operating structure. Our energy OpEx was reduced significantly compared to last year, mainly because of the one-time price spike that we saw in electricity sales during the winter storms in February. As you may remember our energy OpEx includes fuel gas purchases, which are mostly hedged, offset by electricity sales from our cogeneration plants in California. Now let's turn to capital. CapEx in Q1 was slightly lower than expected at $24 million. We maintained our planned level of activity, however, our drilling cost came in under budget. We reduced drilling cost by changing well designs and improving the rigs operating efficiency. Our capital program in 2021 remains unchanged in $120 million to $130 million range. In terms of well permitting, we have enough permits in hand to execute our capital program in 2021. After Kern County recertify the environmental impact report in March, the county resumed responsibility over oil and gas and land use permits. In response, we aggressively sought County permits and now have applications for our entire 2022 drilling program, pending approval. The Lawrence Livermore technical study on high pressure cyclic steam operations in the thermal diatomite reservoirs is complete, and is under review by the Newsom Administration. We are waiting on the CalGEM to release the study. We anticipate the opportunity to further work with CalGEM to obtain new permit approvals for future thermal diatomite operations. Remember, our 2021 plans currently do not include new thermal diatomite development. And with that, I'll turn it over to Cary.
Cary Baetz: Thanks, Fernando. We were off to a very strong start executing our 2021 plan. We continue to manage controllable cost with non-energy OpEx per BOE, down 11% compared to the fourth quarter of 2020, and adjusted G&A down 10%. Furthermore, our gas hedging strategy is working. We protected 85% of our first quarter gas purchases from the historical price spike driven by winter storm, Yuri. Our gas hedge prices were less than $3 in MMBtu with market prices exceed $100 per MMBtu for a few days. Additionally, we have realized a significant unseasonable pickup in electricity sales, driven by the high gas prices due to the tight natural gas supply. Finally, our Rockies gas sales revenue were nearly as high in the first quarter, as they were in all of 2020 due to the winter storm. While we certainly can't count on gas and electricity sales impact from these unseasonably high prices every quarter, we can rely on having stable gas purchase cost with our hedging strategy, which in turn provides stability, visibility to our overall cost structure. Oil prices continue to rise in Q1 with Brent averaging $61 a barrel in the quarter. You may recall, last year we put on significant oil hedges in place for 2021, when we plan for a two year down cycle due to the uncertainty of how long COVID-19 and oil price war would last. Despite the unfavorable impact from our first quarter oil hedges, we still achieved EBITDA of $52 million, and we continued to build cash $16 million of levered free cash flow, even with an increased capital compared to 2020, and reinstating our dividend for the first quarter. Our cash grew from $80 million at year-end to nearly $100 million at the end of January, which we maintained at the end of the first quarter. With this performance, we are still in excellent position to continue to return capital to our shareholders, and in fact the Board recently approved a second quarter dividend of $0.04 per share. On another liquidity note, last week, we completed our scheduled semi-annual RBL borrowing base redetermination, which resulted in reaffirmed borrowing base and company’s electric commitments of $200 million. As of quarter-end, we had liquidity of $292 million, consisting of cash on hand and the RBL borrowing availability. As a reminder, we primarily use the RBL facility to manage working capital fluctuations and have no outstanding borrowings on the line today. For 2021, we still expect our total average production to be relatively flat year-over-year, but with higher year-end exit rate. However, for the second quarter, we are reshuffling the development schedule a bit, as we focus on maximizing our capital efficiency. And as a result, we expect to see relatively flat production in the current quarter, with an accelerated pace in the second-half of the year. We currently aren't making any changes to our capital guidance, but we are pleased with the capital position in Q1 and look to continue to build on that success for the rest of the year. All in all, it was a strong quarter, which demonstrates that the way we manage our costs and our natural gas hedging strategy ensures that we are generating the best margins by being the low cost producer of oil in California. Our 10-Q will be filed later today, if you want to take a deeper dive into the financials. Now, I'll turn it back over to Trem for final remarks.
Trem Smith: Thanks, Cary. As Cary and Fernando demonstrated, we had a fruitful quarter and we are well-positioned for the rest of the year. I want to briefly touch on our environmental, social and governance efforts or ESG. We recognize the importance of this work to all our stakeholders and the growing interest by our investors. We are designing our ESG strategy to focus on those initiatives that are most material to Berry and value adding to our shareholders. And these priorities will guide our future investments and reporting. Our ESG reporting will be solely focused on the areas that are measurable and achievable, how Berry meet its business goals and are based on real data and science. For information on our ESG approach and initiatives, more information can be found on the 2020 annual report. We look forward to continuing our work in this area and welcome stakeholder feedback. In closing, I believe that for the energy transition to be successful, we must recognize some realities exist. Populations continue to grow locally and worldwide and are putting an increased stress on the environment we live in. People expect to at the very least maintain their current lifestyles if not improve them over time, and do not expect to go broke in the process. If we are to be successful in providing Californians with affordable, equitable and reliable energy, we need a solution that includes all forms and sources of energy, wind, solar, biomass, hydro, hydrogen, oil and gas, for example, and all of the above energy solution. Now, I'll open it up for questions.
Operator: [Operator Instructions] Your first question comes from the line of Leo Mariani with KeyBanc.
Leo Mariani: Hey, guys. So, could you provide a little bit more detail on your commentary around second quarter production? You talked about it being flat here with 1Q before you start to see outsized growth in the second-half. I just wanted to clarify, it sounds like maybe there was a bunch of workover activity that was taking some wells offline, and you also mentioned the reshuffling of the schedule. We just going to see, not a lot of wells turned on as well in the second quarter where it's more pushed to the back-half. Just wanted to make sure, I kind of understood the operational dynamics there behind it?
Fernando Araujo: Hello, Leo. This is Fernando. Our expectation for Q2 is again to keep production essentially flat compared to Q1. In Q2, we have some planned downtime associated to P&A activity in the thermal diatomite reservoirs, and this is affecting production. But, at the same time, we have picked up a third drilling rig in Utah. We're currently drilling Utah wells and we'll be drilling seven to 10 wells in Utah. Though, we won't see this production until early June, because of the completion, that we do the completions on the frac that we're doing there. We do those by pair [ph], so we won't see that production until June. At the same time, we expect to increase production in Q3 as we will be picking up a third drilling rig for California. And at the same time, we'll be optimizing our base production in the thermal diatomite reservoirs, after we finish the P&A campaign in Q2. And then on the workovers, we completed 46 workovers in Q1, and our expectation is to complete about 200 workovers throughout the year. And we've seen some excellent results and we will continue to do that for the rest of the year. But again, our expectation is to have our exit production at the end of the year to be higher production compared to last year's exit production.
Leo Mariani: Okay. Thanks for the color. I just wanted to jump in on the regulatory side here. I guess, it seems like there has been a pretty significant delay in the kind of final result, of the Lawrence Livermore study that's given to you guys. Have you guys heard any update with respect the potential timing on that? And also, just sticking with the regulatory front, I just wanted to get a sense of what you guys think of the potential traction that 2,500 foot setbacks might be having in the state. And if you think that is approved, what do you think the impact the Berry would be, obviously you guys have got some more rural operations concentrated in Kern County, and just thinking along the lines there might be a bunch of local control, and perhaps current County is a lot to do their own thing on setbacks?
Trem Smith: Leo, this is Trem. First part of the question is, the activity and conversation between Whisper and each individual company and CalGEM on generally keeping permitting in general on course in the state is very active at the moment. Lots of help being accomplished with the Kern County. EIR in place now. There is some clarity around how to expedite permits, and we're taking full advantage of that. Part of that conversation is CalGEM is trying to usher through the Governor's office, where that final approval of the high pressure cyclic steam study needs to occur, and that's up to them, Leo. We're not going to predict anymore what the Governor is going to do. We do not incorporate those thermal diatomite wells, as Fernando very clearly stated in our plans, and we manage our thermal diatomite production very well. And as you know, it's not a huge component of our overall production. So we're good and it's also -- in the meantime, we have plenty of sandstone reservoirs to be drilling and lots of opportunity there. On the rest of it was a 2,500. You'll remember that Senate Bill 467, Scott Weiner's Bill was killed in committee. That was the effort this year for the 2,500 foot setbacks. The Governor responded by coming out with his edict, his executive order to start a rule-making process to eliminate fracking by January of 2024. And there is no other legislation that we're aware of that's in process, it would deal with any kind of setbacks this year. So that is a move discussion at this point, we do monitor that, of course and we pay attention. And just in general for those that may be asking coming up, at the moment there don't appear to be significant oil production impactful legislation in process, which is pretty good. I learned yesterday there are 2,700 bills in the state legislature at the moment, and going through a process and very happy to say that, none of them impact oil and gas production at the moment.
Leo Mariani: Okay. That's a great update. And just lastly for me, you've mentioned in your prepared remarks, do you guys still see just M&A as a critical focus for the company here in '21? And do you guys have confidence that you might be able to procure with deal this year? I know you're very focused on looking at conventional assets.
Cary Baetz: Yes. Leo, this is Cary, I think we've made it very clear that scale is very important for us. We continue to turn every stone and look forward to finding something that works and works for our current shareholders, works for our balance sheet. And as soon as we do, we will let everybody know, but it's a top priority of all of us.
Leo Mariani: Okay. Thanks.
Operator: Your next question comes from the line of Charles Meade with Johnson Rice.
Trem Smith: Good morning, Charles.
Charles Meade: Good morning, Trem. Hey, I wanted to go back, because to some of your regulatory comments, I think I might have been confused or maybe a little less than clear on something. You mentioned in your press release that the Newsom's proposal as its currently defined doesn't affect your thermal diatomite program. But, are we to make the inference that it does affect your sandstone which is the bulk of your plan?
Trem Smith: Hey, Charles, I can always count on you to ask the question for clarification. Just to make it very clear, it has no impact on our sandstone, period. And just because thermal diatomite comes up so often, we tend to maybe overstate the impact of any of these pieces of legislation on it. So, I really appreciate your take in asking this question. The reason we're excited that we've quantified over three decades of sandstone locations is trying to put that whole question to bit. Does that help?
Charles Meade: Yes, it does. And do I understand correctly, it's because you're not relying on any fracking for that thermal sandstone.
Trem Smith: That's correct. The sandstones have moderate 20% porosities which is great, but they also have huge permeability. So there is no need to frac any of those, or even come close to something called fracking there.
Charles Meade: So then, maybe the last -- a little bit of clean up on this front, obviously fracking is the thing that has -- the activity has a target on its back. But is there -- in any of this Newsom's ideas, are there things that we should be on the lookout for that might be in somebody's list of things we don't want to see that would affect your thermal sandstone?
Trem Smith: Not that we're aware of at all, and we do monitor that. There's nothing on the horizon there.
Charles Meade: Got it. All right. Thank you for that. And hopefully, I'm not the only one who needed that clarification. But in any case, I appreciate it. And then, one follow-up if I do have a follow-up. You talked about the Western States Petroleum Association and in not only other oil and gas producers, but also other kind of maybe extractive industries that are maybe similarly frustrated. Is there a wider picture you can paint for us, either among the California oil producers or other California industries, whether it be forestry or things like that? Is there any kind of broader response that's maybe starting to come into shape against some of this extremism or some of this kind of excessive, progressive stuff coming out of Sacramento?
Trem Smith: The answer is a qualitative yes, that's very true. The coalitions are coming together quite -- the coalitions that you may not think of naturally are coming together quite quickly here, because of the number of jobs, the issues around the regulatory environment, et cetera. For example, all those industries that you just mentioned require land use permits, for example, and all of them are going through a similar process and are as frustrated, et cetera, as anybody. So, when you start seeing restrictions and bans and things coming out of the Governor's Office, all those industries see a threat to themselves and therefore, generate -- come together as a natural coalition. Then, also, we are seeing very active -- I'm a Co-Chair of an energy working group for something called B3K which is our Kern County itself. Remember, size of state in New Jersey, with lots of renewables and lots of oil, is going to become carbon-neutral by 2045. The coalition, that's obvious there, includes, by the way, some renewable industry wind and solar, as well as the counties, the unions, the firefighters, the police, those that are impacted by the reduction in revenue, should any of those industries be impacted. So, the answer to your question is the coalescing of coalition partners is happening quite rapidly now, which I'm sorry it had to happen, but I'm glad to see it happening.
Charles Meade: That is helpful detail on the situation. Thank you, Trem.
Trem Smith: You bet. Thanks, Charles.
Operator: [Operator Instructions] Your next question comes from the line of Nicholas Pope with Seaport Global.
Trem Smith: Good morning, Nick.
Nicholas Pope: Good morning. I was hoping -- I mean, it was a very -- there's a lot of noise in the operating expense line item, and I was hoping maybe you could give a little bit on that on lease operating expenses, that's $62 million. I guess, how much of that is attributed to the workover increase that you guys had during the quarter? And do you all expect to kind of continue to add through the rest of the year? And also, I'm just -- because of the big move in the natural gas derivatives, I'm trying to just make sure I got kind of I'm understanding the apples-to-apples, and how that relates to kind of the current guidance you will have for the full year? Thanks.
Cary Baetz: Yeah. Nick, this will be Cary. I'll jump in just a little bit on the financial side, and I'll let Fernando fill in any holes. But overall, workovers are primarily capitalized for us and not in your operating expense. And we've highlighted that in the past, but this is kind of a new program. But they're primarily capitalized. The big number in the LOE is fuel, unhedged fuel. So, when we saw -- again, you've got MMBtu over $100 for extended period of time, that shows you kind of why we do a hedging strategy. I think that's the perfect example of why we do the hedging strategy. But, I think that really the noise around, if you're looking for noise in the LOE, it would have to do with the unhedged fuel. But I think from our point of view, that's the reason we continue to have a hedging program on natural gas, and keeping about $3 MMBtu as best we can. And we're actually in very good shape for most of the -- through October this year, and starting to add considerably to next year to eliminate that. I don't know, Fernando you have any -- I think from a non-energy OpEx, things are considering to going well and, again, costs are being realized.
Fernando Araujo: Yeah. Just to put a little color on the non-energy side, in Q1, as you saw, we lowered our non-energy OpEx by about a $1 a barrel compared to last year's average. And we believe that most of these costs are going to be -- cost reductions are going to be sustainable, as we've seen reductions in every major category. Really the reductions are a combination of several things, including renegotiating contracts with our vendors, also changing some operating practices, also implementing some facility solutions to reduce LOE long-term, and also by engaging the field staff in our business and they are coming up with ideas to reduce operating expenses every day. In fact, in Q1, they came up with over 200 ideas to reduce operating expenses. So, we've had great success and we believe it's going to be sustainable in terms of lowering our non-energy operating expenses.
Trem Smith: Does that give you the color you're looking for?
Nicholas Pope: Yeah, that's helpful. And also, just kind of further on that point. The guidance that you gave for operating expenses last quarter, that's $17.25 to $18.55 per BOE, what is that comparable to on -- what am I comparing that to on these line items right now?
Cary Baetz: So, you're talking about our annual guidance and looking at our annual. Yeah, we're obviously well below that at this point in time, and the reason for that is as we've talked about first quarter, really the anomaly was the sale of electricity in the first quarter, that is usually minimal in the first quarter. We primarily see major sale of power in June, July, August, September, kind of a hot season, the air conditioning season. But because winter storm Yuri, the amount of gas that moved east versus traditionally moving west this time of year, it caused a supply problem natural gas, it caused some of your major power producers in here to reduce their capacity. They leaned on cogent and PPAs to offset that. That raised -- rising tide rises all boats, right, that's what we saw across our platform. And I think probably other producers and other people with cogents and PPA saw the same thing. So, Nick, that's the biggest driver of why we are considerably below guidance at this point in time. We expect second quarter natural gas sales -- I mean, power sales to be kind of historical, and we don't see a big blow up in natural gas. In the second quarter, and I will say that, in the second quarter, we do look to the third quarter and, again, with natural gas tight across North America and a hot summer could cause some more spikes, but again, another reason we're hedged. Does that help?
Nicholas Pope: Yeah. So the $14.40 is what's comparable per BOE for the quarter?
Cary Baetz: Yes.
Nicholas Pope: Got it. Okay. That is helpful. And you've also mentioned previously this greenhouse gas cost that I think right now it's in current liabilities, I think it's a $40 million payment. Is that right its somewhere?
Cary Baetz: Yeah, roughly $40 million. Yes.
Nicholas Pope: And what if the cash -- is that at a cash outlay in Q4? And is that something that is going to be ongoing in future years?
Cary Baetz: So most of our GHG we pay on a -- you never know that it's just a regular ongoing. Over the last couple of years, we've been able to negotiate a deferred payment on those, and that deferred payment is what we're realizing this year. And it will go throughout really the first three quarters of this year. So you'll see it, a little bit it was done in Q1, you didn’t notice that much. You'll see some more of in Q2 and in Q3, and it will go through our accounts payable side. So, you'll see it in working capital on accounts payable.
Nicholas Pope: Got it. And on an ongoing basis, when it's not this negotiated deferred payment, where does it normally show up? Is that an LOE kind of line item? Where does that normally…
Cary Baetz: It's taxes, other and income taxes.
Nicholas Pope: Got it. Okay, perfect. That's all I had. Thanks, guys.
Cary Baetz: Have a great day. Bye.
Operator: Your next question comes from the line of Devon Mathis, a Berry stakeholder.
Unidentified Analyst: Good morning. I should have said assembly member Devon Mathis in there, I apologize. Why don’t you guys expand a little bit, I know the partnerships with the different industries are going quite well. I've seen that first hand. And do appreciate your time on things like the CP trip and other stuff, really having those collaborative conversations. What is that looking like from your end, looking at going, obviously, talking about second quarter staying flat, but second-half of the year things rising? Because, I've got to think about sustainability for constituents and what that's going to look like, and, overall, the San Joaquin Valley economy as a whole, but also realizing that we do need a diversified portfolio. So it's very refreshing to hear you all talk about it. And I've seen you on the ground doing it. Could you expand on that a little bit and what that looks like from your end?
Trem Smith: Sure, Devon. By the way, thank you for joining us this morning. I think you're the first assembly member to join us for the call and to speak up. I really personally appreciate it. And the answer to your question is, we would like, for a lot of reasons that we can list here today, we would like to be able to grow Berry's presence and production in California to provide an oil source, there's plenty of oil here. There's plenty of oil in the San Joaquin. I would like to start eliminating foreign imports into the state, so that we end up with more employment and pay higher -- more taxes, et cetera, et cetera to the state, to the economy itself, which doesn't happen with the foreign imports, as you know. And at the same time, in my experience, there is no place that you can work without a diversified source of anything. And that includes energy to make it affordable, equitable and reliable, and California, of course, needs that more than ever now. There is plenty of room for renewables, there's plenty of room for biomass, there's plenty of room for all of the above, as I said at the end. But to allow oil to manage -- there is no reason the oil is declining in the state, it's just a matter of people investing and having confidence to invest in the state. Berry has that confidence and we'd like to see more of it to hold the production, at least flat, if not grow it for the overall state. And Berry is going to do its part, of course, as you've heard. But that's at the expense of imports, not at the expense of diversification of energy sources for the people of California. Does that make sense?
Unidentified Analyst: It does. And I think the group, I mean, obviously the materials and the meetings I sit in we are quite a bit about California oil is clean oil and we need to look at that as a better option versus imports. I wish my colleagues on the other side of the aisle understood that. And it sounds like we have defeated quite a bit of legislation over the years, and to see and hear those numbers, I don't think people realize the gravity of the fact that we started with over 3,000 pieces of legislation this year, and witling 300 of those away before even hit appropriations is a huge thing. But no, I think the partnerships are great. I think the communication is going well and I think to your credit and to the Group's credit, it shows the dividends by defeating these things out of the gate, before they get to rear their ugly heads up. So thank you guys for what you do on that side.
Trem Smith: Thank you, Devon. Thanks for joining us today.
Cary Baetz: Thank you, Devon.
Operator: And there are no further questions at this time. I will now turn the call back over for any closing remarks.
Trem Smith: I want to thank everybody for their time today, and look forward to talking to you again at the end of the second quarter. Have a good day, everyone.
Cary Baetz: Thank you, all.
Operator: This concludes today's conference call. You may now disconnect.